Operator: Good day, and thank you for standing by. Welcome to the Fourth Quarter 2021 and Full Year Mastercard Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded [Operator Instructions]. I would now like to hand the conference over to your speaker today, Mr. Warren Kneeshaw, Head of Investor Relations. Please go ahead.
Warren Kneeshaw: Thank you, Jumaria. Good morning, everyone, and thank you for joining us for our fourth quarter 2021 earnings call. With me today are Michael Miebach, our Chief Executive Officer; and Sachin Mehra, our Chief Financial Officer. Following comments from Michael and Sachin, the operator will announce the opportunity to get into the queue for the Q&A session. It is only then that the queue will open for questions.  You can access our earnings release, supplemental performance data and the slide deck that accompany this call in the Investor Relations section of our website, mastercard.com. Additionally, the release was furnished with the SEC earlier this morning. Our comments today regarding our financial results will be on a non-GAAP currency-neutral basis, unless otherwise noted. Both the release and the slide deck include reconciliations of non-GAAP measures to their GAAP reported amounts. Finally, as set forth in more detail in our earnings release, I would like to remind everyone that today's call will include forward-looking statements regarding Mastercard's future performance. Actual performance could differ materially from these forward-looking statements. Information about the factors that could affect future performance are summarized at the end of our earnings release and in our recent SEC filings. A replay of this call will be posted on our website for 30 days. With that, I will now turn the call over to our Chief Executive Officer, Michael Miebach.
Michael Miebach: Thank you, Warren. Good morning, everyone from New York. And starting off with the key highlight for the quarter. We delivered strong revenue and earnings growth as we saw further improvement in our underlying operating metrics. Quarter 4 net revenues were up 28% and EPS up 46% versus a year ago on a non-GAAP currency neutral basis. On the same basis, quarter 4 net revenues are 19% above pre-COVID levels in 2019.  So with that, let's take a look at the macroeconomic front. The outlook remains positive despite the recent supply chain constraints, geopolitical uncertainties and inflationary pressures. Although there has been a recent surge in COVID cases, there are signs that these may be peaking. By each of these areas' merit monitoring, underlying spending trends remain strong as consumers, businesses and governments have become more adaptable to a changing environment.  In the U.S., economic growth remains solid with low unemployment and healthy consumer confidence. According to our quarter four SpendingPulse report, which is always based on all payment types, including cash and check, U.S. retail sales, ex-auto, ex-gas were up 6.4% versus a year ago, and up 10.9% versus 2019.  In Europe, GDP growth has been strong, although recently impacted by mobility restrictions. The impact of the Omicron variant reduces, expect the economic growth to pick up in the coming quarters, in large part, thanks to considerable pent up demand from the past year. SpendingPulse shows that overall European retail sales in quarter 4 were up 3.3% versus a year ago and up, 1.3% versus 2019.  In Asia-Pacific vaccination rates continue to improve and we expect the economic recovery to pick up pace as both governments and businesses ramp up investment. The travel recovery in Asia-Pacific has lagged that of the rest of the world and has significant growth potential.  Growth in Latin America is expected to moderate a bit following the rebound in 2021. As it relates to COVID specifically, there are early signs that the Omicron spurt will be relatively short lived. The reality is that the tools we have to deal with the pandemic are more advanced than ever. 60% of the world's population is now at least partially vaccinated. Effective therapeutics are becoming available. And governments are using more targeted measures to limit the spread. More borders have opened and have stayed open despite the recent variant. Although we've always said the path forward will not be linear there are signs we're moving towards the endemic phase of the disease.  Looking at Mastercard spending trends, switched volume growth continued to improve quarter-over-quarter. Both consumer credit and debit continued to grow well. Turning to cross-border, the recovery has continued with overall quarter 4 cross-border levels now higher than those in 2019. Cross-border travel continued to show improvement relative to quarter 3 levels, aided by border openings in the U.S., UK and Canada. While Omicron has had some recent impact on cross-border travel, we continue to believe that cross-border travel will return to 2019 levels by the end of this year.  Cross-border-card-not-present spending ex-travel continue to hold up well in the quarter. So overall, the spending trends are moving in the right direction with some near term travel related headwinds as a result of the variant. Now turning to our business highlights. I outlined in our Investment Committee Meet in November, we remained focused on our grow-diversify-build strategy, and our three strategic priorities which are, expanding in payments; expanding our services; and embracing new networks. Here's an update on how we’re progressing against each of those priorities.  First, we're expanding in payments by growing person to merchant payments, scaling across other payment flows and leaning into innovation in new payment technologies. In aggregate, these targeted flows represent $115 trillion in opportunity. First up, we're driving growth in person to merchant payments through new wins across the globe. In the U.S., I'm excited to announce that we're partnering with Chase and Instacart, leading online grocery platform in North America on a new Instacart Mastercard co-brand program. This partnership marks an additional co-brand win with Chase, quickly following the recent launch of the Chase Aeroplan World Elite Mastercard.  In addition, with First Interstate Bank's planned acquisition of Great Western Bank, we will flip Great Western’s consumer debit, credit and commercial portfolios to Mastercard. And I'm happy to note that the consumer credit portfolio of MERIX Bank, over 3 million customers will transition to Mastercard beginning in the second quarter. MERIX Bank plans to leverage several Mastercard solutions, including our fraud prevention, consulting, open banking and loyalty services. Over in the Netherlands, we've renewed our partnership with Rabobank, which includes the migration of 8 million Maestro cards to Debit Mastercard. We signed an exclusive deal with Westpac in Australia for the new Banking-as-a-Service platform. This platform will allow new players to leverage Westpac's banking capabilities. Afterpay, the first partner on the platform will connect Debit Mastercards to their Money by Afterpay app. And in the UK, the NatWest Debit migration is progressing to plan as in the early stages of consumer rollout. We're also expanding in payments by capturing new payment flows including commercial, B2B accounts payable, bill pay and cross-border remittances. For example, in the consumer space, we've expanded our relationship with Bank of America, where we'll be the lead brand for new commercial card issuance. We've also renewed and expanded our relationship with WEX, including be chosen as their strategic partner and adding open-loop functionality to their millions of closed-loop fleet cards. Turning to accounts payable, we continue to scale Mastercard Track, WEX, BMO, BOK Financial, Melio and Delux will connect to the platform. We also launched the launch -- we also announced the launch of Mastercard Track Instant Pay, which uses machine learning to analyze and initiate automatic virtual card payments, streamlining processes for buyers and improving cash flow for suppliers. And we're driving new B2B acceptance through a global partnership with Boost Payment Solutions with an initial focus on expanding the use of commercial card in seven key markets.  We're addressing new payment flows in consumer bill payments as well. We recently announced the acquisition of Arcus to help deliver bill pay solutions and other real time payment applications in Latin America. Arcus enables digital payments for the majority of households built in Mexico and its connections with banks, fintechs and digital wall providers across the region.  And finally, we continue to capture new flows in cross-border remittances. This quarter, we established a partnership with Travelex in Brazil, who will use Mastercard's cross-border services to send P2P transfers to the U.S. and Europe. For domestic disbursements in the U.S., we partnered with fintech processor TabaPay to make Mastercard Send easily available to fintechs and merchants across multiple use cases. Now shifting gear, we're also expanding in payments by leaning into payment innovation in areas like installments, contactless acceptance and cryptocurrencies. Here are a few examples. Our open-loop Mastercard Installments program that we announced last quarter has been very well received. The U.S. launch is on schedule for quarter one. We're actively bringing new partners into the program as we announced in Middle East, Africa earlier this week, watch this space. Now we're making great progress in expanding contactless acceptance by turning the world's billions of active smartphones into potential acceptance devices, enabling people to buy and sell whenever wherever they want. We now have 100 deployments of Tap on Phone in over 50 markets with leading partners globally.  Contactless penetration increased to one in two of our in-person switch transactions globally this quarter. This is up from approximately one in three prior to the pandemic. And with that, the potential for accelerated acceptance growth, financial inclusion and consumer convenience is substantial. We're also bringing capabilities, experience and reach to help enable the crypto ecosystem. Our new collaboration with Coinbase will allow consumers to use their Mastercard to purchase NFTs, tried that myself.  Our work with ConsenSys will make it easier for software developers to increase the scale, efficiency and speed of transactions on Ethereum and permissioned blockchains. And our CBDC [ph] Sandbox Test Platform, which we launched in 2020 continues to gain traction. We're helping central banks, financial institutions and fintechs simulate the issuance and distribution of CBDC along with the integration of CBDDs with our card network, our real-time payment modules and native blockchain wallets. Now shifting to services, our services support can differentiate our core products and have played a critical role in aiding many of the ones I just mentioned. The group services revenue at 25% in 2021 on a currency neutral basis. We will continue to extend our service capabilities to enhance the value of payments. We even further accelerating our growth by expanding into new areas and new use cases, particularly through our Data & Services and Cyber Intelligence propositions. Again a few examples for you. In December, we announced an agreement to acquire Dynamic Yield from McDonald's. Dynamic Yield uses enhanced AI to deliver customized product recommendations, offers and content to consumers. Their customer set includes over 400 global brands ranging from financial services companies like Synchrony to retailers like Lens End. When combined with SessionM's loyalty platform and our Test & Learn experimentation software, we will be able to offer a unified consumer engagement and loyalty hub to our customers. McDonald's is a great example of a company who is using all three of these platforms today with plans to further scale and integrate Dynamic Yield's capabilities globally. In addition, our Ethoca platform continues to experience strong traction in preventing unnecessary chargebacks, a real pinpoint. We added new customers in every region in 2021 for Ethoca. Recently, we launched Ethoca Consumer Clarity, which gives consumers detailed information about purchases on their mobile banking app. Submission is live with issuers across the U.S., UK and several European markets, including OTP Bank, Central Cooperative Bank and Paybox Bank.  Now beyond expanding in payments and expanding in services, our third strategic priority area is embracing new networks. Specifically, we are leveraging our expertise in payments to build out new networks, with current focus on open banking and digital identity.  On the open banking front, we have closed the acquisition of Aiia in November, which brings strong API connectivity to over 2,700 banks across Europe. And combined with Finicity's North American connection, which covered more than 95% of deposit accounts in the U.S. market, Mastercard has an unparalleled footprint in the key open banking regions upon which we are building solutions to solve a wide range of use cases. One example is in the mortgage verification space, where Finicity has signed deals with several new partners, including LoanPro [ph].  And in the digital identity space, we're helping our customers with fast, frictionless identity verification services. Ekata has performed strongly over the last quarter, expanding through strategic partnerships with companies such as ZIP and Equifax as well as growing its global footprint with leading fraud [ph] providers Tongdon and AirClick [ph] in Asia-Pacific.  Combined, open banking and digital identity extend our value before and after the payment transaction. These are large, attractive and growing opportunities, and we are uniquely positioned to be a leader in both. So in summary, we delivered strong revenue and earnings growth this quarter. The macroeconomic outlook remains positive with a few areas that we're monitoring. And we're executing against our three strategic priorities, expanding in payments, expanding our services and embracing new networks, and all that with substantial progress on the product and deal front this quarter. Now Sachin, over to you and the numbers.
Sachin Mehra: Thanks, Michael. So turning to Page 3, which shows our financial performance for the quarter on a currency neutral basis, excluding special items and the impact of gains and losses on our equity investments.  Net revenue was up 28%, reflecting the continued execution of our strategy and the ongoing recovery in spending. Acquisitions contributed 3 ppt to this growth. Operating expenses increased 19%, including a 7 ppt increase from acquisitions. Operating income was up 37%, which includes a 1 ppt decrease related to acquisitions. Net income was up 44%, which includes no impact from acquisitions as the impact of acquisitions on operating income was offset by a onetime acquisition-related tax benefit.  EPS was up 46% year-over-year to $2.35, which includes a $0.04 contribution from share repurchases. During the quarter, we repurchased $1.3 billion worth of stock and an additional $528 million through January 24, 2022. So let's turn to Page 4, where you can see the operational metrics for the fourth quarter. Worldwide gross dollar volume, or GDV, increased by 23% year-over-year on a local currency basis. We are seeing continued strength in debit and credit. U.S. GDV increased by 23% with debit growth of 15% and credit growth of 34%. Outside of the U.S., volume increased 23%, with debit growth of 25% and credit growth of 20%. To put this in perspective, as a percentage of 2019 levels, GDV is at 125%, up 4 points quarter-over-quarter with credit at 116%, up 5 points sequentially and debit at 134%, up 3 points sequentially. Cross-border volume was up 53% globally for the quarter, with intra-Europe cross-border volumes up 45% and other cross-border volumes up 63%, reflecting continued improvement in travel related cross-border as several borders opened during the fourth quarter. In the fourth quarter, cross-border volume was 109% of 2019 levels, with intra-Europe at 122% and other cross-border volume at 98% of 2019 levels. Turning to Page 5, switched transactions grew 27% year-over-year in Q4 and were at 132% of 2019 levels. Card-present growth continued to improve while card-not-present growth rates remained strong. Card-present growth was aided in part by increases in contactless penetration in several regions. In addition, card growth was 9%. Globally, there are 3 billion Mastercard and Maestro branded cards issued. Now let's turn to Page 6 for highlights on a few of the revenue line items, again described on a currency-neutral basis unless otherwise noted. The increase in net revenue of 28% was primarily driven by domestic and cross-border transaction and volume growth, as well as strong growth in services, partially offset by higher rebates and incentives. As previously mentioned, acquisitions contributed approximately 3 ppt to net revenue growth. Looking quickly at the individual revenue line items. Domestic assessments were up 24% while worldwide GDV grew 23%. Cross-border volume fees increased 61% while cross-border volumes increased 53%. The APPD difference is primarily due to favorable mix as higher-yielding ex intra-Europe cross-border volumes grew faster than intra-Europe cross-border volumes this quarter. Transaction processing fees were up 28%, generally in line with switched transaction growth of 27%.  Other revenues were up 30%, including a 9 ppt contribution from acquisitions. The remaining growth was mostly delivered by our Cyber & Intelligence and Data & Services solutions. Finally, rebates and incentives were up 38%, in line with our expectations, reflecting the strong growth in volumes and transactions and new internode deal activity. Moving on to Page 7, you can see that on a currency-neutral basis, total operating expenses increased 19%, including a 7 ppt impact from acquisitions. Excluding acquisitions, operating expenses grew 12%, primarily due to increased spending on advertising and marketing, higher personnel costs to support the continued investment in our strategic initiatives and increased data processing costs. Turning now to Page 8, let's discuss the specific metrics for the first three weeks of January. First, as a point of process we continue to provide volume and transaction metrics both on a year-over-year and as a percentage of 2019 basis. However, it is important to note that as we turn the calendar and move into 2022 the index versus 2019 metric now looks back three years and therefore includes a compounding improvement relative to the 2021 index metric. This compounding impact must be taken into consideration when considering the sequential trend from Q4 to January. So at the highest level, Omicron has had a minimal impact on overall switched volumes and transactions and has caused some moderation on cross-border travel.  Going through the metrics in turn, starting with switched volumes. Through the first three weeks of January, we are now at 149% of 2019 levels, up 13 points versus Q4. This increase is primarily driven by the compounding effect I just referred to. After adjusting for this compounding effect, switched volumes are tracking similarly to what we saw in Q4. The underlying trends in switched transactions adjusted for the compounding effect are generally tracking the trends we are seeing in switched volumes. In terms of cross-border volume growth. As I mentioned earlier, spending levels as a percentage of 2019 in Q4 are now above pre-pandemic levels. The Omicron variant, which hit partly through December, impacted the strong cross-border travel momentum we saw in November. That impact has carried over into January. This has been partially offset by an increase in cross-border card-not-present ex-travel. Overall, cross-border volume through the first three weeks of January is now at 116% of 2019 levels, up 7 points versus Q4. In this case, the compounding effect is partially offset by the impact of the Omicron virus on cross-border travel in January. Turning to Page 9, I want to share our thoughts on the upcoming year. While there is some uncertainty related to Omicron and potential future variance, our overall expectations for 2022 are positive. The macroeconomic outlook is for continued growth and domestic spending levels have firmed up well despite the recent surge in cases. The recovery in cross-border travel was progressing well prior to Omicron, and we expect the recovery in cross-border travel to resume as the surge passes. As Michael just noted, the tools available to deal with the pandemic have improved with time. And although the path forward may not be linear, there are signs we are moving towards the endemic phase of this disease.  Many countries have relaxed their border restrictions, and we continue to expect cross-border travel to recover to 2019 levels by the end of 2022. Our recent deal wins, travel oriented portfolios and diversified set of services position us extremely well to capitalize on these trends. Turning to our expectations for the full year 2022, our base case scenario is for net revenues to grow at the high end of a high teens rate on a currency-neutral basis, excluding acquisitions. Acquisitions are forecasted to add about 1 ppt to this growth, while foreign exchange is expected to be a headwind of 1 to 2 ppt for the year, primarily due to the strengthening of the U.S. dollar relative to the euro. In terms of operating expenses, we continue to carefully manage our spending as we invest in our payments, services and new network priorities to drive short and long-term growth. For the year, we expect operating expenses to grow at the low end of a low double-digit rate on a currency-neutral basis, excluding acquisitions and special items. Acquisitions are forecast to add about 4 to 5 ppt to this growth, while foreign exchange is expected to be a tailwind of approximately 1 ppt for the year. Turning now to the first quarter, year-over-year net revenue growth is expected to be at the high end of a high teens rate, again, on a currency-neutral basis, excluding acquisitions. This reflects some sequential improvement in cross-border travel spending trends within the quarter relative to 2019, as the impact from Omicron starts to recede as the quarter progresses. Acquisitions are forecast to add about 2 ppt to this growth, while foreign exchange is expected to be a headwind of 2 to 3 ppt for the quarter.  From an operating expense standpoint, we expect Q1 operating expense growth to be at the high end of high-single digit range versus a year ago on a currency neutral basis, excluding acquisitions and special items. Acquisitions are forecast to add about 6 ppt to this growth, while foreign exchange is expected to be a tailwind of approximately 1 ppt for the quarter. As a reminder, we discretely disclosed the impact of acquisitions for the year-end which they close and the subsequent year, after which time we do not split them out. For instance, Finicity, which closed in November of 2020 is now folded into the base. We are pleased to have closed the acquisitions of both Aiia and Arcus in November and anticipate closing the pending acquisition of Dynamic Yield in the first half of 2022. Other items to keep in mind, on the other income and expense line, we are at an expense run rate of approximately $115 million per quarter, given the prevailing interest rates and debt levels. This excludes gains and losses on our equity investments, which are excluded from our non-GAAP metrics. And finally, we expect a tax rate of approximately 17% to 18% for the year based on the current geographic mix of our business. With that as a backdrop and turning now to Slide 10, I would like to update you on our three year performance objectives for the 2022 to 2024 period that we first introduced in November at our investment community meeting. The bottom line is that there is no change, although our jumping off point for earnings is slightly higher due to our Q4 2021 over performance. As a reminder, these objectives are on a currency neutral basis, exclude special items, gains and losses on equity investments and acquisitions closed after 2021. Using 2021 as our base over the 2022 to 2024 period, we expect to deliver a net revenue compound annual growth rate in the high-teens. This assumes an annual target market volume growth rate of 10% to 11%, cross-border travel returning to 2019 levels by the end of 2022 and doing our services revenues at a 20% plus CAGR.  From an operating margin perspective, we will continue to operate with the philosophy of delivering a minimum annual operating margin of 50%. Having said this, I would like to emphasize that we continue to believe that it is important for us to invest with a long-term growth while delivering positive operating leverage, and we continue to exit -- continue with this philosophy in mind. And finally, we expect to deliver an EPS CAGR in the low-20s range on a currency neutral basis, excluding the impact of special items, gains and losses on equity investments and future acquisitions. And with that, I will turn the call back over to Warren.
Warren Kneeshaw : Thank you, Sachin. Jumaria, we’re now ready for the question-and-answer session. 
Operator: [Operator Instructions] Your first question will come from Rayna Kumar with UBS.
Rayna Kumar : Good morning. Thanks for taking my questions. So with cross-border spending now above pre-pandemic levels, are you anticipating any pent-up demand in travel spend in your financial guidance, particularly as we get through the travel months in the summer?
Michael Miebach : Hi, Rayna. This is Michael. Let me kick this off. So as I said in my remarks earlier, we do see pent-up demand. We've see pent-up demand in the last year and the year before. And it continues. People will want to travel, get out whenever they can, and it has been proven again and again. So there is an assumption there. And we've been pretty vocal about that, that we do continue to believe that cross-border travel will return to pre-pandemic levels by the end of the year. Sachin?
Sachin Mehra : Yes. I think Michael, you pretty much covered it. The only thing I'd just add is we just need to go back to 2021 where we saw that when people have the ability to travel, they express their intent to travel. And we do believe that the impact of Omicron is going to be short-lived. And as borders start to relax a little bit more and people get a little bit more comfortable around this, people will get out there and express the demand for travel, back to what Michael was just saying.
Michael Miebach : In fact, I'm heading to Europe tonight so there you go.
Rayna Kumar : Great. Thank you. 
Operator: Your next question will come from Harshita Rawat with Bernstein.
Harshita Rawat : Good morning. Thank you for taking my question. Michael, I want to ask about FedNow. It looks like it will be live in the U.S. in 2023. Domestic RTP system in many countries is used for payments other than consumer to business. But then you have examples like the ones in India with UPI, which is used for retail payments. How do you see that playing out with FedNow? And how can you participate in terms of services enablement for that? Thank you.
Michael Miebach : Right, thank you, Harshita. So FedNow, we'll have to see when it actually comes live. But broadly speaking, if we go with our experience in other countries, we believe there is, in real time payments lies the real alternative payment solutions. There's demand by government, there's demand by businesses and consumers. The 20022 Standard allows to carry more data. So there's all sorts of reasons why this might make sense. To your question on how participation looks like, yeah, when we bought Vocalink in 2016, I promise I won't take you back five years now. But that was a conscious decision realizing exactly what I just said. And that we want to play and we have to have those alternatives.  If I look at it from a use case perspective, there are some use cases where cards is just simply an excellent answer today. Its ecosystem drives huge value. And there is -- yes, there might be alternatives, but we continue to invest in that and focus on that. At the same time, there's a whole range of use cases where real time payments account-to-account makes a lot more sense than basic ACH or cash. And that's a displacement opportunity that we certainly want to engage in cross-border remittances, bill pay and the likes. I think where our participation and our differentiation comes in, is we have tools across the whole gamut of the payment solutions. That's our multi-rail strategy. We have advanced this quite significantly over the last couple of years to true multi-rail solutions, not like that we have one and the other in parallel. It's one single solution.  If you look at Mastercard Track, that's exactly what it is. You can pay any which way through -- any which way you like through Mastercard Track, but the payment optimization, the security the pricing, the predictability of the Mastercard good is all the same across all of these options. So I see it as a fundamental opportunity to participate in new flows rather than anything else.
Harshita Rawat : Thank you.
Operator: Your next question will come from Darrin Peller with Wolfe Research.
Darrin Peller : Thanks, guys. Michael, when we think about the parts of your business that are outperforming partly because of the panic but partly given where we are within the acceleration on spending on electronic payments, can you just walk through that in terms of what kind of sustainability you see to the parts of the business that have sustainable upside now?  In other words, debit volume is now probably bigger than you would have otherwise thought it would be. Services is another piece that's probably higher than it otherwise could have been. Are those sustainable? And then maybe remind us of the parts of the business besides just cross-border that can catch up as we see the recovery again? Thanks, guys. 
Michael Miebach : All right. Thanks, Darrin. So I'll start that off and then maybe Sachin can kick in. So first of all, the secular shift has gotten a real push out of COVID. I mean where we had to spend online. And when I look at that, I think that is a fundamental structural trend, more online commerce, more online banking, more online, everything.  And what has really come out over the last two years that this is a lasting trend. So every bit of consumer research that we do, market research that we do, people will say, I learned to like it. So I'm going to continue to do that. So I think that is an accelerated growth opportunity. And it's a big assumption in our three year long-term guidance that we gave, that we continue to believe that the race towards a more digital economy will be a positive driver for us.  So sustainable growth driver. You see it come through in how we build out acceptance, 19% acceptance growth. We continue to find pockets and opportunities and flows in segments that are just not penetrated with our solutions yet. And so I see the underlying secular growth, I see us show up in more places. I mean I used the term, I think, at the Investor Day, leave no white space. So that is why expanding in payment is pillar one of our strategy.  You pointed to services, now services in a world that is more digital, that throws up more data, in a more digital world, a lot more people need to be safe in that digital world. So our C&I services, our security service solutions. Basically, we can't run fast enough. That has been outperforming. I gave you the growth rate for 2021 and services at 25%, that's for sure, an elevated growth rate and we continue to see that very, very positive. On data and analytics, more data, more people will want to do something with the data. A merchant will understand now that they have more, more merchants are entering into the digital space, how do they find customers in an easy way, how do they retain customers? That's where Dynamic Yield comes in. A perfect tool to really make more of that. And then all of that data in the end will fuel the world of open banking, which is part of our whole new network strategy, the essential and of course, the need for digital identity solutions. So all of that is sustainable.  The catchup opportunity, back to your question, is for sure travel. It is travel, domestic travel has been leading, leisure travel has been leading. Cross-border travel and corporate travel over different curves over time, there's significant catchup opportunity for us. So I think those are the headlines.
Darrin Peller : Helpful. Thanks, guys.
Operator: Your next question will come from Lisa Ellis with MoffetNathanson.
Lisa Ellis : Hey. Good morning, guys. I was hoping to ask about net yields. Just looking back, pre-pandemic Mastercard net yields were steadily increasing about 0.5 basis, 1 basis point a year. But then over the last two years, have dropped, first in 2020 then again somewhat over in 2021. Can you just help parse for us a bit, how much of the pressure on yields recently is due to cross-border travel weakness versus perhaps competitive pressure or something like that? And kind of what gives you confidence in one versus the other? And I guess, looking out into 2022, are you now expecting yields to move back the other direction? Thank you.
Sachin Mehra : Sure, Lisa. I'll take that question. So look, I think the short answer to your question is the vast majority of what you've seen in terms of net yields has been driven by the changing mix of the business over the pandemic, primarily cross-border volumes coming down and the impact of that. As you know, cross-border volumes and the revenues are less indexed from a rebates and incentive standpoint. So you have the impact of that playing through.  I would say fundamentally, we've always operated in a competitive environment. We see no real change in the level of competition relative to what we've seen over the past few years. So candidly, I would tell you our assumption going into our planning cycle, and going into 2022 as well as our three year performance objectives has been one of the impact of having minimal net pricing, which is net of rebates and incentives. And we still continue to believe that to be the case. That was very much the case a couple of years ago as well.  So the point really is a lot of what you're seeing on the net revenue yield is being driven by the changing mix, primarily cross-border. Services continues to do really well, and has been accretive to our yield in the past. And we expect that given the opportunity in services, that will be the case going forward as well.
Lisa Ellis : Terrific. Thank you. 
Operator: Your next question will come from Sanjay Sakhrani with KBW.
Sanjay Sakhrani : Thanks. Good morning. I have another follow up question on the cross-border. I guess when we think about Omicron, I know there's been a small impact. But I'm just curious if there's any learnings from it. Do you feel like the resiliency of the consumer, and obviously, the tools that we have, put us in a better position than what where we were maybe when you guys provided your expectations, understanding your expectations haven't changed?  And then I'm just curious, as we've seen the U.S. inbound travel improve, were there any learnings from that? Thanks.
Michael Miebach : All right, Sanjay. I'll kick that off. So clearly, there have been learnings and there have been learnings across the whole industry. You may have followed some of the airlines during the earnings season. This whole thought about the time period between a surge, a case surge and how bookings are coming back is narrowing. So the first learning is that consumers just become more adaptable. I said that earlier. It's not just consumers, it's actually businesses, consumers and governments.  Now governments have also learned. And governments have learned in terms of how broad-based social distancing measures and quarantine rules and the likes are. And those are much more targeted these days. As I said, more borders stayed open. When the U.S. opened in November, surges were going on in Europe. And there are no entry hurdles at this point. I said I'm traveling to Europe. There's no really -- there's no hurdle at all. It's just pretty easy to get back. So I think the combination of vaccination rates going up, learnings and governments and so far makes it a much more benign mix to deal with whatever might be coming there. So that is a significant assumption that we took as we looked at the rest of the year. You also see that more routes are being opened, more people want to get out whenever they can. So there's a desire and the ability to go out I think, together, make the kind of right package for us that gets us pretty positive.
Sachin Mehra : And Sanjay, I'll just add to what Michael just said. I think you'll remember at our November investment community meeting, we had shared with you that the U.S., UK and Canada inbound cross-border travel corridors represented -- in Q3 of 2019, they represented roughly 20% of total cross-border travel volumes, which we have said. And we said they were tracking at roughly 50% of 2019 levels. This is the data we shared with you at ICM. Well just as an update, as we progressed through the quarter in November, we saw these borders open, which Michael talked about, U.S., UK, Canada. And the same metric, which is the U.S., UK and Canada in Q4 is now at 70% of 2019 levels. So that's just an expression of our confidence about how, when people can travel, they will travel.
Michael Miebach : And I just want to add one more point. So these are some -- I shared some of the macro learnings. Sachin just talked about the upside potential. Now taking both of that, what we have learned from our customers that are active in the travel space is that everybody is of the same opinion, and hence leaning into the travel sector and winning more co-brands, engaging consumers so that they book with our partners versus somebody else, all that is going on. You see the whole range of wins. The JetBlue renewal was one of the more recent one, the Aeroplan launch with Chase, IAG last year, et cetera, et cetera. So there's a lot of learnings by the travel industry themselves on how to engage and really make these co-brands or co-brand programs worthwhile, which we like a lot.
Sanjay Sakhrani : That's perfect. I have my fingers crossed. Thanks.
Michael Miebach : Yeah. Very good.
Operator: Your next question will come from Tien-Tsin Wong with JPMorgan.
Tien-Tsin Huang : Thank you. Good morning, Michael and Sachin. I wanted to ask about just -- well, it sounds like your macro view hasn't changed too much from what you guys talked about at ICM aside from some of the near term travel headwinds. But I just want to check your 1Q outlook here for high-teens revenue growth when -- it looks like your January trends are growing above that, nicely above that. Any call outs there? Or is that just conservatism?
Sachin Mehra : So look, I mean, Tien-Tsin, here's what I would say. I think in what I shared with you in terms of our Q1 thoughts, you've got to factor in -- there is the headwind, which is coming in from the strengthening U.S. dollar, which I kind of talked about what our estimate around that is. So that would be one kind of call.  But other than that, all we're kind of expressing is where we're seeing our current metrics and how we're assuming the recovery of Omicron to come through over the course of the first quarter, which I kind of shared with you in my prepared remarks. So really nothing else going on there. I will emphasize one more time, what you're seeing in terms of the first three weeks of January, indexed back to 2019 has got a compounding effect. And that, you have to take into consideration when you're checking -- when you're looking at the sequential trends, which is why I was giving that additional color around what the impact of Omicron was, adjusted for the compounding effect on switched volumes, switched transactions and cross-border.
Tien-Tsin Huang : Understood. Thank you. 
Operator: Your next question will come from David Togut with Evercore ISI.
David Togut : Thank you. Good morning. What are your expectations this year for the pace of account-to-account payments rollout in Europe under open banking? And how do you see this affecting credit and debit card growth in Europe? And as a follow up, would appreciate your perspective on Amazon's very public negotiation with Visa over credit card acceptance at Amazon UK. And whether this reflects more payment options for example, account to account? Or is this a one-off negotiation between two corporates?
Michael Miebach : All right. Let me start, David with that. So account to account in Europe. When you look over the last years in Europe, it's been relatively slow paced in terms of consumer adoption and rollout. We have invested -- we're heavily invested across that with Aiia on the open banking side of account to account, with Nets, with Vocalink. So we're deep in the space. We like -- generally like what we see in terms of direction. Take up, I think it's -- I would call it pace. So that's the first thing I would say.  Initiatives like EPI, you look at that and say their initial focus is actually on the card side. And they're thinking of account-to-account in the longer run that reflects the same that I just said. So continued significant opportunity for cards in Europe, but we see the long-term growth opportunity in account to account. And we've kind of covered our bases there. And with our open banking investments at our initial use cases there, particularly in the UK, I think we can be pretty optimistic about that. Our partnership with Tesco, with Lloyd's, are looking very positive.  So your question around Amazon, that's fundamentally a question for Visa I would say, and for Amazon. We have seen these kind of negotiations in the public domain now and then over the years, relatively short lived and were resolved. These particular news did not involve us at all. We have a strong and longstanding relationship with Amazon. And we agree that consumer choice matters. That's why we have a multi-rail strategy, and we're going to continue to work with Amazon delivering a whole differentiated set of products. So nothing particularly to worry about from our perspective.
David Togut : Thank you.
Operator: Your next question will come from Bryan Keane with Deutsche Bank.
Bryan Keane : Hi, guys. Good morning. Just two quick ones for Sachin. Just looking at switched volume on the January month-to-date in the U.S. At 15%, that's down a little bit from where it was running before. I don't know if that's just an anniversarying of some of the comps. I know the three year percentage still increased to 139. But just thinking about on a year-over-year basis, that 15%, anything to call out there?  And then secondly, on rebates and incentives. Any guidance you can give us for fiscal year '22 as a growth rate or as a percentage of revenue? Thanks.
Sachin Mehra : Sure, Bryan. On the first point, you're referring to the 15% year-over-year growth in the first three weeks of January. And you're looking at the sequential trends there. Well, that is a tougher comp ratio. And this goes back to the impact of the economic stimulus, which was enabling better spending back on -- in the comparable period last year, and that's what you're seeing happen there. So that's kind of the answer to the first part of the question.  On your second point, look, I mean, the whole rebates and incentives thing, I need to just emphasize one more time. Look, I know people are focused on the competitive environment. Trust us, we too are, because we operate in that competitive environment. And we want to make sure that we compete effectively with our products, capabilities, services, whatever the case might be. We have not seen a meaningful shift in the competitive environment relative to what we've been used to operating in the past. So that's kind of just to level set where we are.  But specifically to your question, on rebates and incentives, it's dependent on the timing of deals and how the volume and mix plays out through the year. In Q1, we expect rebates and incentives as a percentage of growth to be similar to Q4. That's kind of the extent. And all of this is contemplated in what I've shared with you on our full year thoughts as well as on Q1.
Bryan Keane : Got it. Thanks so much. 
Operator: Your next question will come from Ramsey El-Assal with Barclays.
Ramsey El-Assal : Hi. And thanks for taking my question this morning. I wanted to ask about supply chain pressure and whether you're seeing any changes. And with that pressure abating and that might be contemplated in your full year guidance? And separately, I just was wondering if you could help us contextualize your exposure to Russia. And what we should expect there if sanctions, in fact, tighten due to political unrest in Ukraine, potential.
Michael Miebach : All right. Yeah, Ramsey, let me start with the supply chain and touch on Russia quickly. Supply chain pressures are clearly there. You're looking at chip shortages. There's all sorts of things affecting the supply chain. We continue to believe that these are rather short-lived as the supply chain actually bounces out, so that's the first thing I would say. So there's not a huge assumption in our outlook around that. What we've also seen is particularly through the holiday season, pretty significant holiday spending, positive season and people spend what they can spend on. So if they can't buy something, they buy something else. So we've seen shifts in categories. So from that perspective, again, the pent-up demand is an important aspect here.  On Russia, very, very early to tell how this is going to play out. This is certainly—it was one of the points that I referred to earlier, geopolitical uncertainties that we have to keep in focus. We have seen sanctions applied in previous years. And we basically manage through that. We'll have to see what it is. Russia is a substantial and important -- and strategically important market for us. We'll have to see how that plays out.
Ramsey El-Assal : All right. Thanks so much. 
Michael Miebach : Thank you.
Operator: Your next question will come from Dan Dolev with Mizuho.
Dan Dolev : Hey, good morning. Thanks for taking my question. There was a question before on overall yield. I want to ask about domestic assessment specifically. If I look at Q4, I think you're running at about 13.1 basis points. Historically, the number was higher, more closer to 14. Is there anything to call out on that front? Thank you very much.
Sachin Mehra : Hey Dan, look, I mean on domestic assessment, I think what you've seasonally -- I mean, what we've seen is that typically, in Q4, we see the yield of domestic assessments to actually drop off a little bit. That's just what we have historically seen. There's a bunch of moving parts which are going on in that. And really nothing unusual to call out there. The trajectory of what we've seen historically still holds true on a going forward basis.
Dan Dolev : Got it. Thank you so much. 
Operator: Your next question will come from Moshe Orenbuch with Credit Suisse.
Moshe Orenbuch : Great. Thanks. And you did discuss the account to account side of things a little bit. But I'm just wondering, given how often this comes up in discussions with investors, we've seen some issues that some of the domestic players have had from a regulatory standpoint. Any thoughts about how that could affect kind of the evolution of that product advantages, perhaps being part of Mastercard might be for Tink and Aiia? And other kind of thoughts about just the growth of that, both in Europe and the U.S.? Thanks.
Michael Miebach : Right. Moshe, excellent question. We see there is clearly an interest of regulators in new forms of payment. Regulators are always keen on security, on data protection, on consumer protection. That is always in focus. We have most recently seen this with an interest in buy now, pay later. UK regulator is doing a consultation. Various regulators have shown interest to regulate the space. In account-to-account, you should expect something similar. We do know that from a Vocalink and Pay by Account in the UK that is very much in focus. And I think it differentiates an established player like us to basically come in. We have very clear data principles. We have -- we don't sell data to anybody. We believe in the consumer -- strong consumer consent, the likes and the likes. All of that is codified in the Mastercard franchise. So a company that goes beyond just being a fintech and providing a connection and getting money from A to B, but doing it in an organized fashion with very clear roles that people sign up that partner with us, I think is going to be a differentiator.
Sachin Mehra : And I'll just add to what Michael said. I think you're going to remember that when we talked about what we were doing in the open banking space, we were very deliberate about how we went about our activities there, particularly as it relates to how we got data from the banks, and that was all through APIs. It has been our philosophy. And the idea being, you've got to do it in the right way. You cannot do in scraping, you should be doing it through APIs, not only because it's the right thing to do from a safety and security standpoint, but also the data elements you can actually get by virtue of doing it in that manner help you create a much more sustainable long-term product, which you can offer.  So very much part and parcel of what the philosophy has been from the get-go in this space for us.
Moshe Orenbuch : Great. Thank you, Michael and Sachin. 
Sachin Mehra : Thank you. 
Operator: Your next question will come from Dave Koning with Baird.
Dave Koning : Yeah. Hey, guys. Thank you. And I noticed U.S. average ticket size in Q4, I think it was only up 2%. The prior three quarters up 6% to 7%. So you would think with inflation, it would be accelerating, not decelerating. Is that just consumers returning to card-present maybe lower transaction sizes or just splitting transactions? And what's the impact? That seems positive to you, right?
Sachin Mehra : Yeah, Dave, again, I want to make sure I got the question. But what we've observed -- if you look at our trends for how switched volume and switched transactions are trending, you'll see effectively that the improvement quarter-over-quarter in switched volumes from 131% of 2019 to 136% of 2019 [ph] is a 5-point improvement compared to switched transactions, which have improved from 131% to 132%.  That should signal to you that there is a higher ticket size, which is happening, which you would expect because as people get out and travel more they do so, that's higher ticket in general. They do it on credit products, which are higher ticket size. As also there is -- as e-commerce happens, that happens to be higher. So you've seen that come through in the delta on a sequential basis.
Dave Koning : Yeah. And I was referring more towards -- it looked like it's decelerating in the U.S., which seems positive. It seems good to have splitting transactions possibly happening is what it just seems like or different types somehow?
Sachin Mehra : Yeah. No, I wouldn't see anything materially different in our U.S. trends than what I just shared globally in terms of what we're seeing from a ticket size standpoint.
Dave Koning : All right. Thank you. 
Operator: Your next question will come from Andrew Jeffrey with Truist Securities.
Andrew Jeffrey : Hi. Good morning everybody. One of the more discussed topics in the market generally today is inflation. And I wonder if you could just touch on if we do see persistent embedded global inflation, whether or not that's a positive for your business from a volume and/or yield standpoint?
Michael Miebach : Right, Andrew. So definitely a significantly discussed topic, all sorts of views on it. So here's our take. First of all, where it happens, we generally distinguish to look at it first at the macro level, what is happening across a particular market? What's the policymakers’ response? We heard the U.S. policymaker talk about this yesterday. Then there's broader impacts that go beyond our immediate business, wage growth. How does all of this, in the end, affect the consumer's ability to spend? So there's a lot of macro things to consider. On the micro side, it basically is not homogenous. So inflation is affecting our business in a different way than it would be the overall CPI. So if you have inflation expecting rent, while that's generally not running through our rails to a large extent, so that could again be a very different picture. Taking all of that into account, fundamentally, notwithstanding the impact that inflation has, that it could be negative on consumers, on businesses and so forth. There is an impact on GDV if it's moderate inflation that would be showing in our numbers.
Andrew Jeffrey : Okay. I assume that's been taken into account to your guidance.
Sachin Mehra : Right.
Andrew Jeffrey : Appreciate it. Thanks. 
Operator: Your next question will come from Jamie Friedman with Susquehanna.
Jamie Friedman : Hi. Thank you for taking my question. I just wanted to ask about the difference between other revenue and services revenue. I know services did great, up 28% -- 25% for the year, 28% for the quarter. But other actually grew a little bit faster. So Sachin, maybe if you could remind us what the nuance difference is? I know one is a subset of the other.
Sachin Mehra : Yeah. So in other revenue, we have a bunch of our services revenue would sit there, but there's other stuff going on in that as well. So you've got for example, some of our Vocalink revenues sits in there. The Nets acquisition would sit in there. And so if you're looking at the other revenue growth rate of 30%, remember 9 points of that growth came from acquisitions, which is just basically a lapping effect of the fact that we didn't have those acquisitions last year at this time than we do at this point in time. So on services, services continues to grow very nicely. A large part of that sits in other revenues. Some of it is in transaction processing. But the growth you're seeing in other revenue is being -- is a combination of strong services growth plus some of the acquisitions, which you're seeing come through in that growth rate there.
Jamie Friedman : Got it. Thank you for the clarification. 
Sachin Mehra : Sure.
Operator: Your next question will come from George Mihalos with Cowen.
George Mihalos : Great. Thanks for taking my questions, guys. Just very quickly, Sachin, I'm curious, as you look through the weekly trends year-to-date here through January, are you seeing a lot of variability, meaning are you seeing sort of a bigger pickup as we go through the month? And then somewhat related to that, if you could talk a little bit about what you're seeing in the rest of the world.
Sachin Mehra : Sorry, what are we seeing in the rest of the world, did you say?
George Mihalos : Rest of the world versus U.S. I mean, it looks like if I look at your volumes for credit at least, the worldwide volume is now starting to accelerate a little bit and pick up. So I'm just wondering if you're starting to see that really come into the numbers over the last couple of weeks.
Sachin Mehra : Yeah. Okay. So I got your question. So look, I mean, in terms of weekly trends, they bounce around. I mean there's so much which goes on in the nature of weekly trends. It varies depending on the month in question. I'm not seeing anything which is highly unusual in terms of what we're sharing with you on our first three weeks of January in terms of weekly trends. But there is volatility week-over-week. And you would expect that to be the case. And sometimes, it's a comp issue as well. So you got to remember that you've got to kind of go back to what you're comparing the comp to and to see if there's differences in growth rates, which is emanating from that. When we look at spend levels, that's kind of generally the case. As it relates to rest of the world versus the U.S., look, the U.S. on a growth rate basis has a tougher comp this year in the first three weeks of January, just by virtue of the fact that we had a whole bunch come in from the economic stimulus last year. Conversely in the rest of the world, particularly in Europe, when you really think about what's going on there, there was a lockdown in Europe which took place last year in January. So you have an easier comp on Europe from a growth rate standpoint. So you have to factor those in when you're looking at the growth rates there.
Warren Kneeshaw : I think we have time for just one final question.
Operator: And we'll take our final question from Jason Kupferberg with Bank of America.
Jason Kupferberg : Thanks, guys. Just wanted to ask a question about how we should think about quarterly cadence here of net revenue growth. Obviously, you told us about Q1. It sounds like Omicron and FX and rebates are somewhat of a headwind there. Your year-over-year comp, obviously, is much harder in the second quarter than the first quarter. But arguably, you won't really have Omicron headwind at that point.  So just wanted to try and get things calibrated from a modeling standpoint, at least through the first half of the year directionally as we work towards the full year target.
Sachin Mehra : Yeah, Jason. So I'd say, obviously, we've given you some thoughts around Q1 and for the full year at this point to get you started. We'll talk a little bit more about other quarters as the year progressive. But just stepping back a bit, as we said in our remarks, we expect that cross-border travel recovery will resume as the surge passes. And that will reach the cross-border travel back to the 2019 levels by the end of 2022. Look, we continue to be very active on the deal front. And so that needs to be taken into account. But overall, here's what I would say that the pace of cross-border travel recovery will be a key determinant as to how that cadence plays out. And more to come as we go through the year. I'll share a little bit more about what we think about ensuing quarters. But right now, that's the extent of what I'm going to share with you.
Warren Kneeshaw: Great, thanks, Sachin. Michael, any final comments?
Michael Miebach : Yeah. I was hoping the last question would be for me. Anyway so thank you for all your questions. As you see, we’re optimistic with the outlook. We reaffirmed our three year guidance that we gave you in November. I don’t think there’s any need to repeat anything we said. I’d just like to thank you for your support. And as usual, a call out for people that make all this happen. Thank you and speak to you next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.